Operator: Welcome to the Aris Mining Third Quarter 2025 Results Call. We will begin with an overview from management followed by a question-and-answer period. [Operator Instructions] The conference is being recorded. [Operator Instructions] Please note that the accompanying presentation that management will refer to during today's call can be found in the Events and Presentations section of Aris Mining's website at aris-mining.com. Also, Aris Mining's Third Quarter 2025 financials can be -- have been filed on SEDAR+ and EDGAR and can also be found on their website. I would now like to turn the conference over to Mr. Neil Woodyer, Chief Executive Officer. Please go ahead.
Neil Woodyer: Thank you, operator, and welcome, everyone. Thank you for joining us for our third quarter 2025 earnings call. I'm joined today by members of the management team, including Richard Thomas, Cam Paterson, Oliver Dachsel, Alejandro Jimenez, and we'll be able to answer your questions at the end of the call. Before we begin, please take note of the disclaimers on Slide 2 as we will be making forward-looking statements throughout today's presentation. Now starting on Slide 3. Following the strong first half year's performance, I'm delighted to report that we have delivered an excellent third quarter. Gold production in Q3 totaled 73,236 ounces, a 25% increase over Q2. Segovia has been ramping up production in line with the expectations following the commission of the second ball mill in June, while Marmato has maintained its solid production levels. This brings our total production for the 9 months of '25 to 187,000 ounces. So we're tracking about the midpoint of our full year production guidance of 230,000 to 270,000 ounces. Against the backdrop of rising gold prices, our strong operational performance has driven record financial performance in the third quarter, putting us in a strong position to fund our growth plans. Gold revenue totaled $253 million in Q3, up 27% over Q2. Adjusted EBITDA was $131 million for Q3 and more than $350 million on a trailing 12-month basis. And we ended the third quarter with a cash balance of $418 million. Meanwhile, the construction of the Marmato Bulk Mining Zone continues to advance with first gold pour expected in the second half of 2026. Lastly, we published 2 major technical studies. First, a pre-feasibility study for Soto Norte in September, confirming it as one of the most attractive gold projects in the Americas. And second, a preliminary economic assessment for Toroparu, which outlines a long-life, low-cost open pit gold project with strong financial returns. Our strategy from here is therefore straightforward. We'll advance Toroparu to a pre-feasibility study over the next 10 months or so. And then we will plan to start construction. In parallel, we're advancing the permitting process for Soto Norte. Together, these projects demonstrate the depth of our growth pipeline beyond Segovia and Marmato and position Aris Mining to become a very significant gold producer. Before I hand over, I'd like to share a quick update from our meetings in Guyana last week, where I presented the results of the Toroparu PEA study to Guyana's Minister of Natural Resources and the Minister of Finance. The meeting gave the project strong support and have confidence that Toroparu can become one of the next major gold mines in Guyana. We're focused on making this happen. With that, I'll pass over to Cam for an update on our financial performance.
Cameron Paterson: Thank you, Neil. Turning to Slide 4. Aris Mining reported strong financial results in the third quarter, driven by increased production volumes and a strong gold price environment. As Neil mentioned, this quarter, we generated record revenue of $253 million and record adjusted EBITDA of $131 million, which drove record adjusted net earnings of $72 million or $0.36 per share. We closed the quarter with cash of $418 million, up from the $310 million held at Q2. This increase reflects $91 million of cash flow after sustaining capital and income taxes, $60 million of proceeds from the exercise of warrants, 99% of which got exercised before they expired in July and $13 million of proceeds from closing the sale of the Juby Gold Project on September 29, partially offset by $48 million we invested in growth capital. Moving on to Slide 5. Our AISC margin increased by 36% compared to Q2, reflecting increased production with the successful commissioning of the second mill at Segovia, higher realized gold prices and continued cost controls. Taxes paid totaled $13 million in the quarter compared to $42 million in Q2. Taxes paid in Q2 were substantially higher as a result of the settlement of our 2024 Colombia income tax liability. In Q3, we generated $43 million in free cash flow from operations after expansion capital. That's after investing $48 million in our growth projects, including $31 million at Marmato, which includes $23 million related to the construction of the bulk mining zone, $10 million at Segovia spent on underground exploration and development, completion activities for the mill installation that followed its June commissioning as well as ongoing work on the tailings storage facility and $7 million invested at Toroparu and Soto Norte, which included the technical studies mentioned by Neil earlier. Financing activities driven mainly by the warrant exercises, as I alluded to earlier, resulted in cash inflows of $65 million in the quarter, which together with free cash flow from operations resulted in a net increase to our cash position of $108 million in Q3. With a continued strong gold price environment and solid operational performance, Aris Mining remains well positioned to deliver robust cash flows to organically fund growth initiatives. I'd like to now hand the call over to Richard to discuss our operational results and growth projects.
Richard Thomas: Thank you, Cam. Moving to Slide 6, please. As mentioned by Neil earlier, we delivered total gold production of 73,236 ounces across our operations in the third quarter, an increase of 25% from quarter 2, resulting in total gold production of 187,000 ounces for the first 9 months of 2025. Segovia accounted for 65,500 ounces of gold produced, driven by the following 3 things: an increase in gold throughput following the commissioning of the second mill in June, an average gold grade of 9.9 grams per tonne and finally, splendid recoveries of 96.1%. In monetary terms, Segovia's strong performance in the third quarter can be summarized as follows: Segovia's all-in sustaining cost margin totaled $121.5 million, an increase of 39% compared to quarter 2. On a trailing 12-month basis, its all-in sustaining cost margin has reached $328 million. Owner mining all-in sustaining cost was $1,452 per ounce in quarter 3, resulting in an average of $1,482 per ounce for the first 9 months of 2025, trending towards the lower end of the company's full year 2025 guidance of $1,450 to $1,600 per ounce. Gold produced from Contract Mining Partners, mill feed generated an all-in sustaining cost sales margin of 44% in Q3, bringing the average for the first 9 months of the year to 43%, above the top end of the company's full year 2025 guidance range of 35% to 40%. Turning your attention to the bottom right. Rising realized gold prices and continued cost discipline continue to drive the all-in sustaining cost margin expansion at Segovia. In quarter 3, Segovia generated an all-in sustaining cost margin of $1,853 per ounce. Moving on to Slide #7. I'm pleased to report that Segovia's production ramp-up following the installation of the second ball mill in June continues to progress as planned. The new ball mill has increased the plant's throughput capacity from 2,000 tonnes a day to 3,000 tonnes per day, and we're making good progress with our gradual production ramp-up as evidenced by the increase in tonnes milled per month since July, as shown in the chart in the bottom right-hand corner. Comparing tonnes milled per month in September of 79,471 to the average monthly of quarter 2 of 55,987 tonnes milled implies an increase of 42%. Importantly, as highlighted in the chart on the top right-hand corner, we didn't sacrifice grade to increase throughput. The grade of our mill feed in quarter 3 was even marginally higher than in quarter 2. Lastly, our recovery rate has remained at an excellent 96.1%. These 3 factors together have allowed us to meaningfully increase gold production in quarter 3 to 65,549 ounces. Based on gold production year-to-date and expectations of a continued gradual ramp-up, Segovia is tracking about the midpoint of our 2025 production guidance of 210,000 to 250,000 ounces. With increased processing capacity and underground development advancing, Segovia is targeting gold production of around 300,000 ounces in 2026. Moving on to Slide #8. At Marmato, construction of the Bulk Mining Zone continues progressing, and I'd like to use this opportunity to give you an update on the different work streams of the project. We have to date completed 580 meters of the main decline, which equates to 34% of the full length of the 1.7 kilometer decline. Current development rates are at 72 meters per month and are expected to increase to approximately 150 meters per month once we have transitioned through the fault zone. Completion of the decline is targeted for August 2026. Los Indios crosscut is advancing towards the connection with the main decline, which is now approximately 320 meters away. As you will see in the project design on the left of the slide. This horizontal development will provide additional access and ventilation pathway, enabling ore and waste haulage between existing workings and the new infrastructure. Importantly, completion of the crosscut will enhance operational flexibility and derisk the project's ramp-up phase by allowing multiple access points for early development and production sequencing. On surface, bulk earthworks for the process plant platform have reached 95% completion and the retaining wall is over 75% complete. Final shaping of the carbon-in-pulp plant platform is expected during the first week of November. Construction activities continue to advance safely with over 2 million man work hours completed to date. Major equipment, including the primary crusher, the SAG mill, the ball mill and filter press has arrived in Cartagena. Approximately 95% of long lead items have been ordered. The contract for the main civil, mechanical and electrical works is in place with the contractor mobilized and construction activities having commenced in October. Preparations for the new power line continue to advance well. Land acquisition is complete and the environmental impact study has been submitted for approval, enabling construction to commence in March 2026 following the issuance of the permit. To ensure continuity of commissioning and early operations, backup generators are included in the site power plan to mitigate any potential delay in the grid power connection. At the end of quarter 3, the estimated cost to complete the project was $250 million, of which $82 million will be funded by the remaining installments under the Wheaton streaming agreement and bringing the total, which Aris Mining has to fund to $168 million. The project remains on schedule with first gold expected in the second half of 2026, followed by a ramp-up period to steady-state operations. Moving on to Slide #9. As Neil mentioned at the beginning of the call, we completed a feasibility study for Soto Norte, which we believe is one of the most attractive gold projects in the Americas. With the PFS complete, we are advancing the required studies to apply for an environmental license in the first half of 2026. The PFS outlines a long-life underground gold mine with robust economics, low operating costs and industry-leading environmental and social design features. We went to great lengths to strike the right balance between scale, profitability and responsible development considerations, which I will discuss in greater detail in the following 2 slides. Before moving on, I would like to draw your attention to the charts at the bottom left and bottom right-hand side of the slides. Starting on the left, Soto Norte has 7 million ounces of measured and indicated resources at a grade of 5.6 grams per tonne, of which 4.6 million ounces at a grade of 7 grams per tonne have been converted to proven and probable reserves, confirming that the Soto Norte is a high-grade, long-life project. As a reminder, Aris owns 51% of Soto Norte and hence, our attributable share of measured and indicated resources and proven and probable reserves are 3.6 million ounces and 2.3 million ounces, respectively. Turning to the right-hand side, we can see that the production and process grade profile over the first 10 years of the project. The mine plan has been calibrated such that we will be mining higher grade ore of the ore body first, resulting in process grade in those years being above the reserve grade. This, in turn, drives higher annual gold production in the first 10 years compared to the life of mine average, which enhances Soto Norte's net present value and payback period. Turning to Slide 10. The new study has reduced Soto Norte's processing capacity from about half from more than 7,000 tonnes per day previously to 3,500 tonnes. Of that, more than 20% of Soto Norte's plant capacity will be made available to process mill feed from local community miners, mirroring our successful partnership model with Contract Mining Partners at Segovia and Marmato. The 3,500 tonne per day design requires $625 million of initial capital expenditure. All other metrics on this slide are based on operating Soto Norte at the owner mining rate of 2,750 tonnes per day. Said differently, we chose not to incorporate the upside associated with the contract mining partner component of the study. The results based on owner mining alone are highly attractive and deliver the following results: a 22-year life of mine based on mineral reserves, annual gold production of 263,000 ounces over years 2 to 10 and 203,000 ounces over years 1 to 21. all-in sustaining costs of $534 per ounce over the life of mine. Annual EBITDA averaging from $547 million over years 2 to 10 and $410 million over years 1 to '21 at an assumed gold price of $2,600 per ounce. At that base case gold price, the project delivers an after-tax net present value of $2.7 billion and an internal rate of return of 35.4% with a payback period of 2.3 years. At a gold price of $3,000, the NPV increases to $3.3 billion and the IRR to 40%. As a reminder, all those metrics have been quoted on a 100% basis and Aris share is 51%. Let us move now to Slide #11. It is important to highlight that we have listened to Soto Norte's constituents very carefully and have gone to great length to design a project that addresses their concerns. We believe our PFS design adheres to the highest standards of safety, water protection and environmental management while delivering significant long-term value for our shareholders and for our community and government partners. As I've mentioned, 750 tonnes per day, which is more than 20% of the plant capacity will be dedicated to processing material purchased from the local community miners, replacing the informal mills that pollute water courses with safe license processing. Development of Soto Norte will generate significant employment. During peak project construction, about 2,300 jobs will be created with long-term operations requiring about 675 employees. Colombia will also benefit from $3 billion in taxes and royalties over the life of mine, assuming a gold price of $2,600. Clearly, if the current gold prices are here to stay for the long term, the project's fiscal contribution would be even more significant. Equally important, the project is designed to protect the local water, including a recycling system, allowing for 96.5% of water reuse. Other important features include a flow sheet requiring no cyanide or mercury reuse, a paste backfill plant to reduce tailing storage requirements on surface and a filtered tailings storage facility designed following international best practice. We're confident that this project strikes an appropriate balance between scale, profitability, responsible development considerations, and we're proud of Soto Norte's industry-leading environmental and social design features. We look forward to progressing studies that will enable us to submit our environmental license application for Soto Norte in the first half of next year and continue advancing what we believe is one of the most attractive gold projects in the Americas. Now turning to Slide 12. As Neil mentioned, we published the preliminary economic assessment for Toroparu, our 100% owned gold development project in Guyana, the second major technical study within 2 months. And like with Soto Norte, this PEA for Toroparu represents the first time that Aris Mining management team has articulated its vision for how this project should be designed, built and operated. After the merger of Gran Colombia and Aris Gold and the arrival of our management team in September 2022, the company paused the project's previous construction plans to reassess the project on a first principles basis, which included completing a new geological interpretation, updating the mineral resource estimate and undertaking optimization studies. As a result, this is a robust PEA that outlines a major new growth and diversification opportunity for Aris Mining. Toroparu has measured and indicated resources of 5.3 million ounces of gold at a grade of 1.3 grams a tonne and an inferred resource of 1.2 million ounces of gold at a grade of 1.6. The chart on the right-hand side of the slide illustrates Toroparu's planned gold production and process grade profile over the 21-year life of mine outlined in the PEA. The average gold production projected is 235,000 ounces per year, supported by a consistent mill grade ranging from 1 to 1.3 grams per tonne. The long steady production profile demonstrates the grade continuity of the project. Turning to Slide 13. I'd like to go over some of the key project parameters and the economics. Mill capacity of 7 million tonnes per annum, a scale that supports an attractive investment return and results in a life of mine of over 20 years, an annual life of mine gold production of 235,000 ounces with significant byproduct credits from silver and copper. Average all-in sustaining costs of $1,289 per ounce and annual EBITDA averaging from $443 million over the life of mine, assuming a gold price of $3,000 per ounce. Initial construction capital is estimated at $820 million, including preproduction costs and $96 million of contingency. After-tax net present value at 5% of $1.8 billion, an internal rate of return of 25.2% and a payback period of 3 years, assuming a gold price of $3,000. The PEA results confirm Toroparu as a large-scale, long-life open pit project with robust economics. Based on these results, we've initiated a PFS for Toroparu, targeting a completion in 2026 with the goal of advancing towards construction. With that, I'd like to pass over to Oliver for an update on our capital structure.
Oliver Dachsel: Thank you, Richard. Moving to our cap table on Slide 14. Our strong operational and financial performance in Q3 has increased our adjusted trailing 12-month EBITDA to $352 million and further strengthened our balance sheet. Our liquidity position has increased to $418 million, and our net debt has decreased to $64 million as of September 30. Total leverage has decreased to 1.4x, which is 1.6 turns lower compared to Q4 2024. Net leverage has decreased to 0.2x, which is 1.3 turns lower compared to Q4 2024. With low and decreasing financial leverage, no meaningful debt maturities until October 2029, stable credit ratings at B1/B+/B+. Our balance sheet is in even stronger shape to support our growth strategy. With that, I'd like to hand over the call to Neil for closing remarks.
Neil Woodyer: I'd like to conclude our prepared remarks on Slide 15. And our message is straightforward as it's exciting. Aris Mining is in a strong position to deliver exceptional growth in the near term to more than 500,000 ounces of annual gold production while advancing Toroparu and Soto Norte, which could potentially unlock 370,000 ounces of additional annual gold production on an attributable basis. We have the building blocks in place to create a leading gold mining company in South America. And importantly, we also have the team and the balance sheet to do it. Looking ahead, we are committed to building on our solid operational and financial momentum, finishing the year strongly and positioning Aris Mining for a successful 2026 and beyond. With that, I'd like to thank you for your time today and look forward to your questions. I'll now turn the call back to the operator to open the line for questions.
Operator: [Operator Instructions] Our first question is from Carey MacRury with Canaccord Genuity.
Carey MacRury: On the great quarter. Just wondering if you could give us a bit more color on how the Segovia mill expansion is going now that we're through October, just sort of what the run rate is sitting at? And should we still expect 3,000 tonnes a day by the end of the year?
Richard Thomas: Absolutely. It's going very well. At the moment, we're taking very nicely at about 2,500 to 2,600. As we -- as our development improves and increases to the end of the year, we get to 2,800 to 2,900 and then early next year, we'll be at 3,000 tonnes per day.
Carey MacRury: Okay. Great. And do you have all the Contract Mining Partners lined up to deliver the tonnes that you're expecting?
Richard Thomas: Yes, we do. We're adding additional 6 contracts in early in next year. The quotas and all the contracts are in place, so we're ready for that. But the bulk of that increase will come from our own operations, and we are well on track for that.
Carey MacRury: Okay. Great. And then maybe one final one. In terms of Toroparu or Soto Norte, I'm assuming you would sequence those, you wouldn't do them at the same time. Is that fair?
Neil Woodyer: Toroparu pre-feasibility, feasibility should be complete within about 10 months. We will be putting in the license on Soto Norte about midyear. That's going to take 18 months to go through. So Toroparu is a little bit ahead of Soto Norte. So we will see where we are as to which to build, probably Toroparu straight into it.
Operator: [Operator Instructions] The next question is from Don DeMarco with National Bank Financial.
Don DeMarco: Congratulations on the quarter and also on the Toroparu PEA. I'll just continue with the questions on Toroparu from the last caller. Do you see this asset as a -- I mean, what your bias appears to be in favor of developing it? But is it also potentially a divestment candidate? And what are your thinking on those 2 or potentially other options?
Neil Woodyer: It is not a diversification. It's an ideal mine for us to build. It's the right size. We have the cash. We have the team. It fits in very nicely after Marmato. It's totally within our financial capability building. It's another 200,000 ounces, and it is geographic diversification. Very clear in my mind, this is a mine for us to build.
Don DeMarco: Okay. And then for my next question, just looking at the development of the Marmato Bulk Mining Zone. What level of CapEx should we be modeling in the home stretch? I see that first pour is still on track for late next year, maybe $30 million was spent in Q3. So should we model an increase in CapEx going forward? Will it be more heavy lifting as we get into 2026 and get closer to first pour?
Richard Thomas: Definitely, Don. So at the moment, we've completed the pad. So we are now ready for the construction of the mill. So you can expect a sharp increase in the capital spend rate going forward. We have signed a contract with our main contractor. They have mobilized on site and they are starting the foundations as early as next week on the 4th of November. So once that starts, the amount of money we'll be spending on a monthly basis will increase.
Operator: This concludes the question-and-answer session. I'd like to turn the conference back over to Mr. Woodyer for any closing remarks.
Neil Woodyer: Well, thank you, everybody, for joining us today. We appreciate your interest, and please don't hesitate to reach out to Oliver if you have any questions. And again, thank you very much.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.